Operator: Greetings, and welcome to the Titan Machinery First Quarter Fiscal 2026 Earnings Call. At this time, all participants are in a listen-only mode. A question and answer session will follow the formal presentation. As a reminder, this conference is being recorded. I would now like to turn the call over to your host, Mr. Jeff Sonnek with ICR. Thank you. You may begin.
Jeff Sonnek: Thank you. Welcome to the Titan Machinery First Quarter Fiscal 2026 Earnings Conference Call. On the call today from the company are Bryan Knutson, President and Chief Executive Officer, and Bo Larsen, Chief Financial Officer. By now, everyone should have access to the earnings release for the fiscal first quarter ended April 30, 2025. It is also available on Titan's Investor Relations website at ir.titanmachinery.com. In addition, we are providing a supplemental presentation to accompany today's prepared remarks along with webcast and replay information, which can also be found on Titan's IR website within the Events and Presentations section. I would also like to remind everyone that the prepared remarks contain forward-looking statements, and management may make additional forward-looking statements in response to your questions. These statements do not guarantee future performance, and therefore, undue reliance should not be placed upon them. These forward-looking statements are based on management's current expectations and involve inherent risks and uncertainties, including those identified in the forward-looking statements section of today's earnings release and the company's filings with the SEC, including the risk factors section of Titan's most recently filed annual report on Form 10-K and quarterly reports on Form 10-Q. These risks and uncertainties could cause actual results to differ materially from those projected in any forward-looking statements. Except as may be required by applicable law, Titan assumes no obligation to update any forward-looking statements that may be made in today's release or call. Please note that during today's call, we may discuss non-GAAP financial measures, including results on an adjusted basis. We believe these adjusted financial measures can facilitate a more complete analysis and greater transparency into Titan's ongoing financial performance, particularly when comparing underlying results from period to period. We have included reconciliations of these non-GAAP financial measures to their most directly comparable GAAP financial measures in today's release and supplemental presentation. At the conclusion of our prepared remarks, we will open the call to take your questions. And with that, I would now like to turn the call over to the company's President and CEO, Bryan Knutson. Bryan, please go ahead.
Bryan Knutson: Thank you, Jeff. And good morning to everyone on the call. I will start today by covering our performance for the quarter, followed by an update on our strategic initiatives and operational focus points for the year. I will then discuss the current market environment and performance across each of our operating segments before turning the call over to Bo for his financial review and comments on our fiscal 2026 modeling assumptions. Our first quarter results demonstrated our ability to advance our short-term goals in a challenging market environment. And while headwinds persist across the agricultural sector, our team remains focused on continuing to execute upon our initiative to optimize inventory and navigate through the trough of the cycle. We continue to anticipate a very subdued retail environment given the ongoing likelihood of weak farmer profitability with government support programs remaining an important but still very much undefined variable. While challenges persist in the marketplace, our team's relentless focus on disciplined execution of our inventory reduction initiative and our customer care strategy is allowing us to manage key variables of the business that will improve our position as we navigate this cycle. With that, I will now transition to our current inventory position. As you can see on our balance sheet, total inventories were $1.1 billion as of April 30, 2025, essentially flat compared to fiscal 2025 year-end. This is very much in line with our previously communicated customers in the first half of the year, while simultaneously taking in trades as we deliver those new units to customers. Overall, I am quite pleased with our inventory progress, which has significantly improved our overall position over the last three quarters. Our customer care initiative remains a key focal point for us, with parts and service providing a stable foundation even as equipment sales face cyclical pressure. This stability is critical in environments such as this, as parts and service will make up about a quarter of our total revenue mix, but well over half of our gross profit dollars this year. We are leveraging our scale and service capacity across our footprint, which is helping us maintain strong customer engagement. CNH recently validated these efforts by recognizing Titan Machinery with two of their top dealer awards, both centered around superior customer service, which is something that we take great pride in. In our domestic agriculture segment, while industry equipment demand remained subdued, the first quarter revenue was stronger than initially expected due to the timing of presold equipment deliveries. On our last call, we mentioned that Q1 domestic ag could be down 40% to 45%, but noted that high volumes of presales could significantly impact results. Indeed, we received and delivered a substantial amount of presold equipment in Q1, which includes a pull forward of revenue we had in our plan for the second quarter. In the near term, we are still working through our backlog of presold units. However, the back half of the year appears challenging with lower visibility and currently sluggish order activity. Farmers remain in a wait-and-see mode with near-term sentiments hinging on commodity prices, moisture levels, and the potential of government farm aid. We are encouraging OEM partners to enhance programming for Q3 and Q4 to help stimulate demand in this environment. But absent that, it will remain challenging in the near term. It is helpful that spring planting across our domestic footprint has gone relatively well for our customers. However, we have received below-average precipitation in much of our footprint, so timely rains throughout the growing season will remain critical. Before turning to construction, I would also like to welcome the team from Farmers Implement and Irrigation. We closed on this two-store acquisition on May 15th, and it allows us to expand our New Holland presence in the productive Eastern South Dakota region. In our construction segment, performance was largely in line with our expectations, and we anticipate that to continue throughout the year. Revenue showed modest growth over the prior year period, reflecting relative stability in this segment despite broader economic uncertainty as infrastructure projects continue to provide a base level of demand. However, as we experienced in domestic ag, we are seeing customers take a more cautious approach to capital expenditures given interest rate concerns and broader economic uncertainty. Our European segment was a bright spot, particularly in Romania, where EU stimulus funds have increased buying activity, which we expect will extend through the end of September. While we anticipate a lift, the degree to which was hard to determine. However, it is clear this support will be meaningful for our operations in Romania. Our business in Ukraine is also continuing to drive growth despite the ongoing challenges. It has been impressive what our team is able to accomplish given those circumstances. Planting conditions across our European footprint are off to a good start, and industry volumes in Europe are expected to be more stable than in the United States. In our Australia segment, we are navigating through market conditions similar to our domestic ag segment. Additionally, the normalization of self-propelled sprayer deliveries that we discussed last quarter is playing out as expected, with this segment transitioning from working through nearly three years of delayed order backlog to selling in line with subdued retail demand. New order activity is modestly weaker than we had anticipated due to dry conditions combined with low commodity prices. And as a result, we are revising down our full-year revenue expectations as Bo will discuss further. Sowing is well underway in Australia's winter crop season, but as previously mentioned, conditions are currently quite dry in much of our footprint, and thus precipitation is very much needed to initiate crop development. In closing, while we are operating in a down market, the progress we have made on our inventory reduction and optimization initiatives reinforces our belief that we will be well-positioned by fiscal year-end. Our confidence stems from the disciplined execution throughout our organization, the continued success of our parts and service businesses, and the progress we have made in positioning Titan to manage through this phase of the cycle. I want to express my sincere gratitude to our entire team for their tremendous focus and dedication during this more challenging period. Their ability to execute while maintaining exceptional customer service has been a key differentiator for us. Consequently, we remain steadfast in emerging from this period as a stronger company and delivering long-term value to our shareholders. With that, I will turn the call over to Bo for his financial review.
Bo Larsen: Thanks, Bryan, and good morning, everyone. Starting with our consolidated results for the fiscal 2026 first quarter. Total revenue was $594.3 million compared to $628.7 million in the prior year period, reflecting a 5.5% decrease in same-store sales driven by the factors that Bryan discussed earlier. Gross profit for the first quarter was $90.9 million compared to $121.8 million in the prior year period, and gross profit margin was 15.3%. These decreases were primarily driven by lower equipment margins, particularly in our domestic ag segment, resulting from our continued efforts to manage inventory to targeted levels. Operating expenses were $96.4 million for the first quarter of fiscal 2026, compared to $99.2 million in the prior year period. The year-over-year decrease of 2.8% was driven by lower variable expenses associated with the year-over-year decline in revenue and profitability. Floor plan and other interest expense was $11.1 million as compared to $9.5 million in the prior year period. However, on a sequential basis, floor plan and other interest expense decreased 15.3%, reflecting our continued efforts to reduce interest-bearing inventory over the past few quarters. Floor plan interest expense is expected to continue to decline as we make additional progress on inventory reduction and mix optimization, and this is building toward a more meaningful decrease in floor plan interest expense next fiscal year. Net loss for the first quarter of fiscal 2026 was $13.2 million or $0.58 per diluted share compared to last year's first quarter net income of $9.4 million or $0.41 per diluted share. Now turning to a brief overview of our segment results for the first quarter. Our agriculture segment realized a same-store sales decrease of 14.1% to $384.4 million and benefited from a pull forward of presold equipment deliveries as Bryan already mentioned. Agriculture segment pretax loss was $12.8 million compared to pretax income of $13 million in the first quarter of the prior year, resulting from softer retail demand and continued efforts to manage inventory at the targeted levels, both of which impacted equipment margins, although to a lesser degree than the more intense margin contraction we experienced in the fourth quarter of last year. In our construction segment, same-store sales increased 0.9% to $72.1 million. As Bryan mentioned, we continue to see relative stability in this segment despite broader macro uncertainty. Pretax loss was $4.2 million compared to pretax income of $0.3 million in the first quarter of the prior year. In our European segment, sales increased 44.2% to $93.9 million, which reflects a same-store sales increase of 44%, partially offset by a slight negative foreign currency impact. On a constant currency basis, revenue increased 47.5% and was led by Romania, which was bolstered by EU stimulus programs. Pretax income for the segment was $4.7 million compared to pretax income of $1.4 million in the first quarter of last year. In our Australia segment, same-store sales decreased 1% to $44 million, which included a 4.6% negative foreign currency impact. On a constant currency basis, revenue increased $1.6 million or 3.6%. Despite these results, retail demand was somewhat softer than we had anticipated, and we expect that incremental softness will continue throughout the rest of the year. Additionally, the quarterly comparables get more challenging in this segment as we progress through the year, as last year was bolstered by nearly three years' worth of sprayer backlog. Pretax loss was $0.6 million compared to pretax loss of $0.5 million in the first quarter of last year. Now on to our balance sheet and inventory position. We had cash of $22 million and an adjusted debt to tangible net worth ratio of 1.8 as of April 30, 2025, which is well below our bank covenant of 3.5 times. Regarding inventory, in the first quarter, we reduced our equipment inventory by sequentially to $913 million, bringing our cumulative equipment inventory reduction to approximately $46 million from peak levels in Q2 of the prior year. This was consistent with our expectations at the beginning of the year. The $100 million of additional equipment inventory reductions we discussed last quarter remains our target, with most of that reduction expected to come in the second half of this fiscal year. We continue to maintain strong corporate oversight and controls around inventory management, working to stay ahead of the aging curve created by the heavy influx of equipment shipments as supply chains normalized post-pandemic. Throughout this process, we continue to optimize our inventory composition by reducing aged inventory while building toward an optimal mix that better aligns with customer demand, which will have the added benefit of further reducing floor plan interest expense. With that, I will finish by commenting on our fiscal 2026 full-year guidance, which we are reiterating from an adjusted loss per diluted share perspective but modifying in terms of revenue modeling assumptions for our international segments. Starting with our top-line assumptions, for the domestic agriculture segment, we continue to expect revenue to be down in the range of 20% to 25%. North America large ag industry volume is still expected to be down approximately 30% year over year, which aligns with the midpoint of our expectations for cash, craft, new equipment revenue. Our parts and service business continued to perform well, and we expect flattish revenue in these areas. For the construction segment, we are maintaining our expectations to be in the range of down 5% to down 10%. The federal infrastructure bill continues to provide healthy support for industry fundamentals, but near-term economic uncertainty is impacting construction activity. We are updating revenue assumptions for our international segments based on localized dynamics. Our European segment is now expected to be up 23% to up 28%. This improved outlook is led by the aforementioned strength in Romania. For our Australia segment, we are updating our expected revenue to be down 20% to down 25% as market conditions remain challenging and farmer sentiment is lower given dry conditions across much of our footprint. From a margin perspective, our fiscal 2026 assumptions for consolidated full-year equipment margin are to be approximately 8%. Now turning to the ag segment specifically. In the first quarter, equipment margins came in lower than expected at 3.3%, and we expect that the ag segment will have similar equipment margins in the second quarter. However, we expect their margins will improve in the back half of the year as we optimize our inventory mix and work toward our year-end targets. We are pleased with the progress we are making on this important initiative, and we are prioritizing this proactive approach to reducing used equipment levels. Consistent with our prior expectations, operating expenses are expected to decrease year over year on an absolute basis, which is expected to translate to approximately 17% of sales due to the lower revenue base we are forecasting as compared to the prior year. In summary, while we are making some refinements to Europe and Australia's revenue assumptions, we remain on track with our expectations for adjusted diluted loss per share in the range of $1.25 to $2. We remain focused on ensuring we are well-positioned heading into fiscal 2027, where we expect to drive toward more normalized levels of profitability relative to the demand environment at that time. This concludes our prepared comments.
Operator: Thank you. At this time, we will be conducting a question and answer session. Before pressing the star keys. Our first question comes from the line of Liam Burke with B. Riley Securities.
Liam Burke: Thank you. Good morning, Bryan. Good morning, Bo.
Bryan Knutson: Morning.
Liam Burke: I know the agricultural environment is tough. Weather is bad, and at least see the I know government subsidies do not support equipment sales, but is there any positive outlook on the agricultural sector? I mean, are you seeing any positive moves here, or is it still just continues to be tough?
Bryan Knutson: Yeah. There have been some of the government payments that have started to come through. So if you look at traditionally, there would be about $10 billion is the traditional level of government payment, which is at this point, what has been approved. Some of our growers are starting to see those checks, Liam. So that is helping provide some stability. Also, as different trade negotiations are going on, you know, and we see more deals get done here, that will further help as well. Recent rains we have received here in the upper Midwest have also helped with sentiment, and that will help with crop development. Australia is at a critical point. There is some rain in the forecast there, so that could help. But, again, if you look at the USDA net farm income projections that they came out with earlier in the year, those were really heavily predicated around the government subsidies, and so that remaining, what they have projected to be up to some billion dollars is still very much an unknown. And so you know, where that falls in, whether it is $10 billion or $45 billion here or where in between is really going to have an impact this year, frankly.
Liam Burke: Great. Fair enough. And on the construction side, there seems to be another area that the sector in general is cautious because of all the macro headwinds and uncertainties, but I would expect that construction would be a little more optimistic in terms of end markets potential. It seems to be just as challenging as agriculture.
Bryan Knutson: It is certainly more positive. We have, you know, in talking with a lot of our contractor customers, the start to the year was a little bit slower, but their backlog of work, they are starting to get projects. It is starting to get filled up for them. Their attitudes are becoming more positive. It is certainly not what it was the past two years. That is for sure. It is definitely very, you know, heavily dependent on a rate environment. So any positive movement we did see in interest rates even just the slightest bit would certainly help there as well. And, again, any stability around trade talks and general broader economy would help as well. But we definitely see more stability in the construction environment right now.
Bo Larsen: Yeah. And I mean, maybe reiterating the same thing just for some perspective. Right? Construction is coming up with some really good years and for us record years, and we are talking about kind of a modest step back off of that given some of the uncertainty in the higher interest rate environment. You compare that to ag where we are really talking about crop level and kind of historically low volumes, quite a bit different outlook, I would say, in so, yeah, overall, down slightly. But putting that in perspective being coming off of those highs, a much different spot for construction than it.
Liam Burke: Great. Thank you very much.
Operator: Thank you. Our next question comes from the line of Ted Jackson with Northland Securities. Please proceed with your question.
Ted Jackson: Thanks. I wanted to circle back into, first of all, in some of the government support. You know, so the USDA is, you know, looking for an additional $37 billion and the billion dollars has been put out. So what kind of programs do the USDA looking to have happen? How do they get funded, and how do we follow that?
Bo Larsen: See that as indeed content. That would be a question. So they are putting specifics behind this, and you can find that on the USDA web page, and they have a timeline for the rest of the year. And a lot of the additional payments coming out this year are specific to natural disaster-type events that actually happened in 2023 and 2024. So, you know, specific to droughts and supporting the livestock industry, and then specific to other dry areas or wildfires supporting the ag industry. Kind of what they need to do is go state by state who qualifies, how much money is going to be allocated in that region, how much gets allocated to an individual grower. So all of that remains to be seen. But if you want to look at that timeline, it is available. There are a lot of specifics out there. So I would say it is pretty structured, and then we are all going to wait and see how this plays out. And how much of that ultimately flows to customers that are on our footprint.
Bryan Knutson: Yeah. And, Ted, the main one that has really happened so far for the grain growers has been is what they call ECAP for the Emergency Commodity Assistance Program, and that was just under $10 billion, which is, again, in line with what the annual traditional level would be. And so yeah. We will remain to be watching here on the rest of the year, but you know, a lot of times, what that does is that certainly at normal yield levels that these prices would essentially get them close to a breakeven for the average grower or just help mitigate their loss. So in general, that is why you are hearing us and Deere and CNH saying that, you know, that will not by itself drive equipment demand or equipment purchasing. They will typically use those dollars to pay down debt. And, again, just to fight another year, if you will. But that said, you know, again, anything incremental beyond that will help. And they cannot defer that income. So there is a point here where it does start to help with demand and help allow them to update some much-needed machinery updates.
Ted Jackson: Thanks. Number two, when you go into your commentary, you are actually using the word trough and, you know, instead of, you know, decline. I mean, would you would is there something that you would like in that? Do you feel that at this point, you know, we are, you know, kind of knocking along the bottom of the cycle. I mean, I am not talking for a turnaround, but, you know, that more or less, you know, that there is more I do not know. Maybe predictability. Stability is probably too much of a word, but, you know, predictability or stability with regards to the ag markets in the US.
Bo Larsen: Yeah. I mean, I guess what we would say about that is certainly not trying to call this specific year or specific quarter as being the bottom. But if you are just looking at history, right, and specifically, you know, going back through the year 2000, with large ag expected to be down 30% year over year. That really puts us about 36% below the average from 2024 back to the year 2000. And just a little bit below the previous low point, which was that 2016, 2017 time period. So it certainly aligns with it is at or slightly below the top of the last couple of decades. Which, you know, gives some support to the fact that we are somewhere near that and not operating toward the bottom of the cycle here. Again, whether you know, that changes in the next couple quarters or it is next year, we are not making that call. But that is kind of what we are alluding to. Right? We are comparing that to history seeing that we are at those similar levels. And not necessarily making the call on when it turns upward from here.
Ted Jackson: Okay. I got a couple more, but I am going to step aside and I will jump back in line if they do not get asked. Thanks.
Bryan Knutson: Thanks, Ted.
Operator: Thank you. Our next question comes from the line of Mig Dobre with Baird. Please proceed with your question.
Mig Dobre: Good morning. Thank you for taking the question. I want to go back to discussing inventory. And it was encouraging to see additional progress this quarter, especially on the use side. So I guess I am curious to get an update from you gentlemen in terms of regionally how you think about inventories. You mentioned that for your Europe business, you expect inventories to remain flattish. Maybe give us a little insight on what is going on with Australia, and then as you think about the North American footprint, are there particular areas where you still need to work this down? I mean, are there specific product lines or either regions or states where maybe you have a little more with the chop than others?
Bo Larsen: Yeah. So just to clarify a couple of points. In that $100 million target, I would say is certainly a minimum that we look to achieve. Certainly looking to do better than that, but we are at expectations through Q1. So you know, let us get another three months in and see what we can do before we would revise that. And what I would say from that hundreds, you know, painting it a little broadly here, CE was in pretty good shape and really within a range overall. Certainly, some optimization, but not really a hundred per I would not prescribe any of that $100 million decrease to them. Australia, also, I mean, you are talking single digits probably in terms of the target. And then, really, mostly, it would be about 60% ag and then 40% in Europe. So we are certainly expecting to see and driving a decrease in inventory in Europe this year. And expecting that to unfold as we work through the rest of the year. Now, you know, within those from an ag perspective, I would say that most of what we prescribe on there is focused on reducing used inventory levels and optimization across new and used. So you are asking areas that you need to focus on. We still have an aging of seasonal products that we, you know, we got large quantity at the same time kind of post-pandemic. Normalizations. We need to work through those so that we can dedicate more of that balance sheet to the, you know, the high horsepower tractors, for example. So that is the optimization that we are talking about. On the Europe side, you know, they do a lot less used business than on the new ag side, so there is not a whole lot there, and it is more about reducing the overall level and also working on that optimization. So, yeah, I guess I would pause there to see if you had a follow-up.
Mig Dobre: No. That is very helpful. I want to talk a little bit about Europe and look, I mean, the increase in revenue guidance I am having a hard time wrapping my head around that. In terms of what is happening in Romania and how big Romania could be in order to generate this sort of swing. So I guess I would like more detail there. And I am also curious how you think about margin. I mean, margin here was 5% in Q1, and if you are raising the guidance to this extent, how do you think about the rest of the year?
Bo Larsen: Yeah. So first off, you know, from some more perspective, for Romania, it represents about half of our business in Europe. So it is pretty substantial. And last year, given the significance of the droughts, we actually saw a Europe business or sorry, our Romanian business decreased 34% year over year. And that was most of the decrease for the whole Europe segment. So from a because of those droughts, actually, industry and country essentially got cut in half. I mean, a significant drop. Right? So what we are alluding to with the European Union funds is some European Union funds dedicated to Romania subvention funds specifically to support the industry. It is a broader piece, but as it relates to our business, you know, initially, that was about €150 million dedicated to providing essentially assistance for farmers to buy certain types of equipment. So that is helping us drive significant increase in the interest and buying of certain types of equipment. Maybe a little bit in terms of from an inventory perspective, it does not necessarily help us address all areas of inventory, and certainly, we need to order some more to keep up with that demand as orders are coming in. But that is why you are seeing the swing from saying, you know, flat to up 5% to up 23% to 28%. It is really getting Romania kind of swinging back to where it was and actually growing from about two years ago. Given the significance of these funds and the opportunity it is providing for growers in the region.
Mig Dobre: And the margin?
Bo Larsen: Yeah. So from that also is helpful from an equipment margin perspective in Europe. You know, we talked about overall for the year consolidated equipment margin being 8%. You know, for Europe, expecting about 15.5%. They have historically quite a bit higher margin than the US side. So I would say, strengthened margin on the Europe side, but a little weakness in margin on the domestic ag side. So domestic ag, you saw the 3.3%, expecting something similar in Q2 and then improving from there. You know, in terms of overall priorities for us, but I just take the opportunity to reiterate is we have got confidence in executing the plan and bringing inventory down and thus that $100 million being a minimum and looking to build off of that. And that is the first priority. Right? So in terms of actions we are taking, incrementally, you know, it proposes some potential compression on margin domestically. But on the Europe side, you know, this is beneficial, and we are seeing that helpful.
Mig Dobre: Okay. Last question. So on your domestic ag business, again, I am trying to figure out exactly how to get to your same-store sales guidance given you know, timing of shipments. So can you help us out in terms of what Q2 looks like relative to the back half? And if we are seeing pretty sustained pressure on the back half, like it looks to me like your guidance implies, what gets the margin to be better than this negative 3% in the back half? Like, what has to happen in order for you to get that? Thank you.
Bo Larsen: Yep. So, you know, a lot of it comes down to discipline on our side and, you know, ordering activity. You know, we are most focused on any orders we are placing, our presales. So you know, the pressure that all came in through last year, and, you know, ramped up as we progress through the year was because we had a bunch of stock inventory available that is interest paying. Right? And so we are working through that, and we have made really good progress on that. And we are going to continue to make progress. We did in Q1. We will continue to in Q2, Q3 from there. So by the time we get to Q4, we are going to be in a drastically different position in terms of inventory health year over year. Which helps us with that margin improvement. So but it is to me, absolutely. I agree that it is a challenging backdrop. The benefit is the significantly less order volume we have coming in and specifically all of that being presold and just the progress we have made and will continue to make on the inventory optimization because right now, right, in order to make that progress, we certainly are getting more aggressive with internal programs and promotions to get that progress done. And as we achieve that, there is less of that that we have to do in the back half. And setting us up as we exit FY26 to really operate at more of a normalized margin, you know, relative to the point of the cycle that we are in.
Mig Dobre: Okay. But just to clarify, just for Q2, same-store sales and agriculture should we be thinking down 25%, down more? This the timing versus Q1 versus Q2 of delivery, that I am looking to clarify.
Bo Larsen: Yeah. And, you know, just to start with also in terms of same-store. So the acquisition that we just did in Brookings, Watertown, we are really excited about. In the press release, we had mentioned last year, it was $20 million in sales. This year, obviously, they are reflecting that we are. So it is not really when you are looking at growth numbers, not really blurring the lines on same-store, just to clarify that for you. And then in terms of what we are expecting, you know, going into the second quarter, we still have some backlog we are executing on. And certainly, as we look at the back half of the year, the next couple of months are going to be really important in terms of what that order writing activity is. But that said, sort of as a base case, I have got from an equipment perspective, Q2, Q3, Q4, each being down about 30% year over year for domestic ag. And then you mix in your parts and service that is more flattish. That is what I would prescribe for you. So then if you really I am zooming back out and I will talk on a consolidated basis. Know, last year, we were more 45%, 46% of our total revenue was in the first half of the year. This year is going to be closer to 50% because of exactly what you are alluding to. So the presales in the first half year, and then we are looking at and projecting forward more challenging order activity in the back half of the year.
Mig Dobre: Very helpful. Thank you.
Operator: Thank you. Our next question comes from the line of Ben Klieve with Lake Street Capital Markets. Please proceed with your question.
Ben Klieve: Alright. Thanks for taking my questions and congratulations. And I started the fiscal year here. First, I want to ask about your comments regarding hopeful initiatives from OEM partners on kind of stimulating demand in the second half of the year. I am wondering if you can talk a bit about this from the perspective of kind of specifically what you would most like to see the degree to which you have, you know, these embedded in your guidance, and then the degree of confidence you have that these, you know, will come to pass.
Bryan Knutson: Sure. Good morning, Ben. Yeah. So, you know, first of all, we are looking at another year of weak farmer profitability as we mentioned. And uncertainty on exports with our global trading partners. And as we see those continue to evolve and as I mentioned, you know, watching moisture levels and crop development and so all that will further determine farmer sentiment and net farm income. But as it currently sits, you know, the net farm income, as we mentioned, is very challenging. So that is where, you know, the OEMs those discussions happen and looking to, you know, pull many different levers whether it is through, you know, financing programs, additional incentives, and what have you. So we will continue to, you know, a lot of the front half of the year is already baked as we have been talking about a lot of those presales coming in. And you heard Bo talk about that. But so we are really looking at the back half of the year and as we get into order boards for next year here. And you know, there have been a lot of pricing increases that have happened with the equipment post-COVID here or even over the last ten years. And there have been a lot of improvements and a lot of technology advancements with the equipment as well that really are driving that ROI on the equipment. So you know, how the OEMs look to pull those different levers to keep their factory set levels, you know, that work for them and also from a dealer perspective, you know, to keep our sales up and keep, you know, the fleet to a certain level of aging as well out there. As we are at, as Bo mentioned, twenty-year trough levels here in demand, the further we go through the cycle at these levels will continue to age the fleet. And continue to increase replacement demand even as you go farther. So we will continue to work with them on just, you know, various incentives to help stimulate demand, help bridge what is currently a gap, for growers as you look at their net farm income levels compared to what the certain payments or cash flow levels of the equipment are in the trade prices right now? So various levers and tools we will pull and look to team up together with the OEMs to bridge that gap right now.
Bo Larsen: And in terms of you asked the question what is embedded in the guidance, I would say kind of a consistency with what we have seen from our strategic OEM partners over the going on fifty-year relationship. So we try to provide as much clarity and transparency to them as in terms of what we are seeing. And right now, the pinch point is weak farmer profitability along with softer used values creating a gap in net boot or the cash price they need to bring in and working with the OEMs to find a way to make those deals that work for the grower, the OEM, and ourselves.
Ben Klieve: Got it. Got it. I appreciate that from both of you. And then I guess I have a follow-up to this. Maybe more for you both around these initiatives. I mean, it would seem to be that if this does come to pass, it would be an overwhelming positive for you. But I am wondering if you can, you know, outline if there is any kind of, you know, resulting margin compression that you would see, you know, need to lean into the floor plan payable, excuse me, in a more material manner. You know, any offsetting a set that those kinds of initiatives would, you know, provide.
Bo Larsen: Well, to the extent that, you know, there is further support there, again, for a perspective, right, we are talking about historically low equipment margins for ourselves in domestic ag. So to the extent that there is more support there, it helps support the view that we have or potentially a little bit upside in terms of where revenue could be. It could improve margins, you know, coming up off of really the floor of where we have been. But still well below normals that, you know, we should be operating at. So, you know, progress in that direction. And then, yeah, absolutely. You know, as we free up cash flow, one of our main capital allocations is going towards interest-bearing debt. So that could help pay that down faster. Overall, again, the priority is inventory reduction and we are doing what we need to and, you know, just working with our partners on support so that we can all get there as efficiently as possible.
Ben Klieve: Got it. Very good. Well, I appreciate the color. Congratulations again. Good start to the year. I will get back in queue.
Bo Larsen: Thank you, Ben.
Operator: Thank you. Our next question comes from the line of Steve Dyer with Craig Hallum Capital Group. Please proceed with your question.
Matthew Raab: Hey. Thanks. This is Matthew Raab on for Steve. Two questions on parts and service here. Firstly, are we still expecting a slight increase year over year in the service gross margin? And then secondly, Bo, you noted last quarter traffic was a little bit slower to start the year. Any update on how the quarter trended and then any expectations for traffic through year-end?
Bo Larsen: Thanks. Yeah. So from a margin perspective, yeah, similar levels, slightly positive levels, that still remains the expectation. In terms of what unfolded in the first quarter, you know, I recall talking about it. We were expecting parts and service to be down mid to single digits in Q1. Same-store growth last year Q1 was almost 20%. It was, like, 18.9%. So that was part of what was going into it. You know, we ended up down low single digits. So, certainly, with the realm or maybe even on the better side of what our expectations were there, and still expecting, you know, kind of a flattish viewpoint there in a world where equipment is down 30%. You know, to us, that is a real positive in just how sustainable that parts of the service can be as long as it takes a ton of work. So it is not a given at all. But everything that we put behind it to be able to maintain sort of a flattish view there when the equipment is down 30%. Hats off to the team on the great job that they do to execute. A lot of work to still get done this year to make that happen. But, you know, that is an important part of our business. I think we already talked about that, but, you know, a quarter of our revenue, you know, upward to 60% of the gross profit dollars this year. You can see why we talk about it so much, why a customer cash strategy is one of our number one strategic objectives. And why it will be, you know, critically important going forward. As we continue to move the business in the right direction.
Matthew Raab: That is great. Thanks, guys.
Operator: Thank you. Ladies and gentlemen, that concludes our time allowed for questions. I will turn the floor back to Mr. Knutson for any final comments.
Bryan Knutson: Thank you for your interest in Titan, and we look forward to updating you with our progress on our next call. And, again, I just want to thank all of our employees for their execution and their efforts. And have a great day.
Operator: Thank you. This concludes today's conference call. You may disconnect your lines at this time. Thank you for your participation.